Operator: Welcome to the Priceline Group’s First Quarter 2015 Conference Call. The Priceline Group would like to remind everyone that this call may contain forward-looking statements which are made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecast in any such forward-looking statements. Expressions of future goals or expectations and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause the Group’s actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor Statement at the end of the Group’s earnings press release, as well as the Group’s most recent filings with the Securities and Exchange Commission. Unless required by law, the Priceline Group undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. A copy of the Group’s earnings press release, together with an accompanying financial and statistical supplement is available in the For Investors section of the Priceline Group’s website, www.priceline.com. And now, I would like to introduce the Priceline Group’s speakers for this afternoon, Darren Huston and Daniel Finnegan. Go ahead gentleman.
Darren Huston : Okay, thank you very much. And welcome to The Priceline Group’s first quarter conference call. Thank you for joining us, before the markets open this morning in New York. I’m here in Amsterdam with Priceline Group’s CFO, Dan Finnegan. The Group reported consolidated gross bookings for the fourth quarter of approximately $13.8 billion, up 12% year-over-year or about 26% on a local currency basis. Room nights exceeded 100 million for the first time during the quarter while growth accelerated slightly to 25%. Non-GAAP earnings per share was $8.12, up 4% versus prior year surpassing FactSet consensus estimates of $7.72 per share and our guidance for the quarter. Our U.S dollar denominated growth rates were substantially impacted by the stronger dollar. Our international business recorded 29% gross bookings growth on a local currency basis, up from 27% last quarter. Gross bookings benefited from growth in hotel supply at Booking.com which now has over 640,000 hotels and other accommodations in over 200 countries and territories, up 40% over last year. We are continuing to ramp new property acquisition including individually owned vacation rentals with new on-boarding tools that allow owners to list their property quickly and easily on our websites. Vacation rentals nearly doubled year-over-year to 275,000, instantly bookable and confirmable properties including villas, chalets, apartments, aparthotels and other self-catered products. Two important innovations were also launched at Booking.com in the first quarter. Booking Now, our mobile phone app for spontaneous bookers and Booking Suite, our partner facing software services platform, both launches were executed well and early results are encouraging. Each of these growth expansions represent innovation beachhead that will be further expanded upon in the coming weeks, months and quarters. International results also benefited from agoda.com and rentalcars.com, both of which accelerated in the quarter. Kayak and OpenTable continue to pursue the international opportunity; and where much work has been done and both businesses are growing, there is still a lot of potential ahead of us. Kayak is focused on product innovation and brand building and has made some solid business progress, particularly in Europe. OpenTable has now more or less completed its technical REIT platform into more modern cloud based architecture. We are now executing plans to optimize the product and roll it out globally. Against these plans, we will take a determined by test and learn approach over the coming quarters as we have with all our businesses. Demand for OpenTable solutions from both restaurants and customers remains very strong. Priceline.com’s domestic growth continued to be hampered by the shrinking opaque business. Priceline.com’s retail business remains healthy including acceleration in the retail hotels and the new management team there is poised to rejuvenate and maximize the potential of the Priceline.com brand. We also acquired Rocketmiles in the first quarter, an innovative hotel booking platform for frequent flyers based in Chicago. Rocketmiles is being managed independently as part of our Priceline Ventures portfolio. Mobile’s interrupted growth in share of our business continues. From Booking.com’s Booking Now app for spontaneous or last minute bookers to priceline.com’s iWatch app to our pay with OpenTable Mobile Payments app to Kayak’s mobile itinerary management tools, innovation and execution on mobile is in our DNA and critical to the Group’s continued success. Across the Group, our customers completed over 100 million reservations from their smartphones in the last 12 months, and that number continues to grow very rapidly. We believe the Group’s business performed well in the first quarter and we are pleased with the progress of our brands in growing and improving their platforms. Our fundamental growth momentum as measured by units and in constant currency remains strong. We again delivered strong organic performance on both the top and bottom-line, providing substantial earnings to reinvest in profitable growth and share buybacks while maintaining attractive operating margins. We repurchased $309 million of our common stock during the quarter and have the remaining authorization of $2.8 billion remaining for future quarters. I believe as strongly as ever that our formula of out-innovating the competition, smart and sustainable organic growth and earning versus buying our customers’ loyalty through best-in-class consumer experiences end-to-end and across devices is the winning long-term formula. I commend my colleagues around the world for their focus and execution. I will now turn over to Dan for a more detailed summary of our financials.
Daniel Finnegan: Thanks Darren. I will discuss some of the highlights and operating results and cash flows for the quarter and then provide guidance for the second quarter of 2015. As we highlighted when we gave guidance for Q1 in February, our U.S. dollar reported results are impacted more dramatically by extreme currency volatility than most companies because about 90% of our full year 2014 gross bookings and operating income were generated by our international brands. Our two most impactful currencies, the euro and the British pound were weaker by about 18% and 9% respectively for Q1 as compared to the prior year. The euro was also about 2% weaker compared to the rate assumed in our Q1 guidance. The strong U.S. dollar means our gross bookings, gross profit, operating expenses, adjusted EBITDA and non-GAAP net income mathematically translates into significantly fewer dollars than they would have at last year’s exchange rates for Q1, Q2 and the remainder of the year. Since our expenses are denominated in foreign currencies on a basis similar to our revenues, they will also translate into fewer dollars. Therefore, our operating margins are not significantly impacted by currency fluctuations and we believe that the impact of currency on our bottom-line is generally similar to the top-line impact. However, due to our normal business seasonality, the bottom-line currency impact is somewhat less pronounced in Q1 than the top-line impact. Although the stronger dollar has a significant negative impact on our growth expressed in dollars, the fundamental performance of our business is still evident in our unit growth rates and our growth rates expressed in constant currency for gross bookings, international gross bookings and gross profit. Q1 was a strong quarter for Priceline Group, accelerating unit growth paired with less margin pressure than forecasted, resulted in over-performance compared to consensus at both the top and bottom-line. Room night growth was strong relative to Q4 across all our key regions. Room nights booked grew by 25% in the first quarter accelerating slightly compared to the 24% growth rate for Q4. Rental car days grew by 18% in Q1, also accelerating compared to Q4 growth of 16%. Average daily rates per accommodations or ADRs for Q1 2015 were up on a constant currency basis by about 2% for the consolidated group. Q1 gross bookings grew by about 26% on a constant currency basis and by about 12% in U.S dollars compared to prior year. International gross bookings grew by about 29% on a constant currency basis and by about 14% in U.S. dollars. Gross bookings for our priceline.com brand business in the U.S. grew by 2%. Similar to recent quarters, the results are a mix of solid growth in retail room nights and rental car days offset by declines in Name Your Own Price services which continue to be challenged by a lack of discounted rates. Gross profit for the quarter was $1.7 billion and grew by about 32% on a constant currency basis and by 19% in U.S dollars compared to prior year. Our international operations generated gross profit of $1.4 billion which grew by about 30% on a constant currency basis and by 15% in U.S. dollar compared to prior year. Gross profit for our U.S. operations, including OpenTable’s U.S. business amounted to $277 million which represented 38% growth versus prior year. OpenTable generated worldwide revenue in Q1 of about $61 million. Non-GAAP operating income amounted to 31.1% of non-GAAP gross profit for Q1 which is 448 bps lower than last year. As I said when we gave guidance for the quarter, we are investing an OpEx to add people, offices and IT capacity to build up the capability of the business to handle future growth. Q1 also reflects deleverage from the inclusion of OpEx for OpenTable and our Booking Suite of hotel marketing services. Online advertising also had deleverage due to lower ROIs and gross bookings acceleration that benefits revenue in Q2 and Q3 when Easter and summer travel takes place. Investments in OpEx and advertising typically have a more pronounced impact on profitability in Q1 when we earn a lower percentage of our annual gross profit due to the normal seasonality of our business. Operating margins did come in better than our guidance however due mainly to lower than forecasted non-advertising OpEx. Adjusted EBITDA for Q1 amounted to $532 million which exceeded the top end of our guidance range of $510 million and represents 4% growth versus prior year. Non-GAAP net income grew by 3% including interest expense from our recent bond offerings and non-GAAP EPS grew by 4%. In terms of cash flow, we generated approximately $209 million of cash from operations during first quarter 2015 which is about 18% above last year. We invested $31 million in CapEx and repurchased 251,000 shares of our common stock for $309 million in Q1. We expect to execute the remainder of our $3 billion common stock buyback program going forward to return capital to shareholders at a pace that makes sense relative to available cash in the U.S. and potential other uses for such capital. We completed two successful financing transactions in Q1 at attractive interest rates. We raised EUR 1 billion for our U.S. parent company by offering a 12-year bond in Europe at 1.8% interest rate. We also raised $500 million by issuing a 10-year bond in the U.S. investment grade market with 3.65% interest rate. Our cash in investments amounted to $9.6 billion at March 31, 2015 with about $2.5 billion of that balance in the U.S. Now for Q2 guidance. The travel market continues to be fundamentally healthy from occupancy and ADR perspective broadly and in Europe. We are pleased with the resilient unit growth that our business has delivered historically and is inherent in our Q2 forecast. Our guidance assumes that our growth rates will decelerate for the quarter due to the size of our business. Our Q2 forecast assumes foreign exchange rates of $1.12 per euro and $1.51 per British pound for the remainder of the quarter which would result in average exchange rates that would be weaker by about 19% for the Euro and about 11% for the British pound as compared to the prior year. As a result, our gross bookings, gross profit, operating expenses, adjusted EBITDA and non-GAAP net income will mathematically translate into significantly fewer dollars than they would have at last year’s exchange rate for Q2 and the reminder of the year. Barring further deterioration in exchange rates we believe that Q2 represents our toughest year-over-year currency comp for 2015. For Q2 guidance, we are forecasting total gross bookings to grow by 15% to 22% on a constant currency basis and by 0% to 7% in U.S. dollars with U.S. gross bookings growing by about 0% to 5%. We expect international gross bookings to grow by 17% to 24% on a constant currency basis and by 0% to 7% in U.S. dollars. Our Q2 forecast assumes that local currency ADRs for the consolidated group will be up by less than 2% compared to the prior year period. We expect Q2 revenue to grow year-over-year by approximately 0% to 7% and gross profit to grow by 17% to 24% on a local currency basis and by 1% to 8% in U.S. dollars. We expect the decline in our Name Your Own Price service will continue to negatively impact revenue growth rates in Q2. We expect about 550 bps of deleverage in non-GAAP operating margins compared to prior year, expressed as non-GAAP operating income as a percentage of gross profit. Q2 forecast reflects the impact of investing in OpEx to add people, offices and IT capacity to build up the capability of the business to handle future growth. Q2 also reflects OpEx for OpenTable and our Booking Suite of hotel marketing services. While we are not giving earnings guidance beyond Q2, we do expect pressure on operating margins from non-advertising OpEx to significantly diminish over the back half of the year as we lap the OpenTable acquisition and the launch of our Booking Suite initiative. Our Q2 advertising forecast assumes lower online ad ROIs and increased investment in offline advertising including rolling out campaigns in new markets. Our approach to advertising spend is consistent with our past approach. We invest in a manner that we believe is sustainable over the long-term with the goal of building our brands with the consumers. We then strive to win the loyalty of our customers by giving them the most choices and the best booking experience across all devices they use to search and book. This approach has resulted in the nice balance between top and bottom-line growth and loyal customers that over time are increasingly coming to us directly rather than through pay channels. Our adjusted EBITDA is expected to range between $715 million and $765 million which is the midpoint to the decrease of 9% versus prior year. As I mentioned a moment ago, we estimate the currency impact on EBITDA growth dissimilar to the impact that we’re forecasting for gross profit. Adjusted EBITDA growth is also impacted by deleverage and operating margins just discussed. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 15% comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. The non-GAAP EPS forecast also reflects the dilutive impact of a full quarter of interest expense from the bond offerings we did in Q1 without any assumed share repurchases we may make using the proceeds. We are targeting non-GAAP fully diluted EPS of approximately $10.95 to $11.75 per share which is the midpoint to the decrease of 9% versus prior year. Our non-GAAP EPS guidance assumes a fully diluted share count of 52.8 million shares based upon yesterday’s closing stock price. We forecast GAAP EPS between $8.85 and $9.65 per share for Q2. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. Consistent with past practice, we have hedge contracts in place to substantially shield our second quarter EBITDA and net earnings from any further fluctuation in the euro and British pound versus the dollar between now and the end of the quarter. The hedges do not offset the impact of translation on our gross bookings, revenue, gross profit or operating income. They also do not hedge us against fluctuations in other currencies and do not hedge our earnings beyond the second quarter. Although we remain concerned about our economic conditions in general, our forecast does not assume any further deterioration in macroeconomic conditions. We will now take your questions.
Operator: [Operator Instructions]. Our first question is from Justin Post with Merrill Lynch. You may begin.
Justin Post: When we look at your bookings guidance for 2Q, it looks pretty healthy and consistent with Q1 but it does seem like gross profit is decelerating ex FX. Can you just talk about the dynamics there? And then as you look at the marketing deleverage, are you seeing really pressure on ROI or what’s really driving that; is it mix of businesses or what’s really guiding? Thank you.
Daniel Finnegan: So, in terms of gross profit, we’re seeing very healthy performance there. The impact of OpenTable is a little bit more significant in Q1, the inorganic impact, just given the normal seasonality of our travel businesses. And in terms of the online advertising forecast, ROIs are the key driver there. We don’t go into the all the building blocks behind what are putting the pressure on the ROIs. But it’s a story we’ve been telling you now for a couple of years and we saw in Q1 and we’re forecasting it to continue in Q2.
Operator: Our next question comes from Mark Mahaney of RBC Capital Markets. You may begin.
Mark Mahaney: Darren, I think you mentioned that Agoda bookings showed acceleration. Could you give any more color on what’s happening there? And also talk about the China outbound market to the extent that that’s building up in materiality? Thank you.
Darren Huston: So first of all, the way I think about Agoda is more broadly how things are going in Asia. And as you know, we have two big brands in Asia, Agoda and Booking.com and together we have a really strong business. Agoda has traditionally been a business of Southeast Asian bookers but it’s really expanded nicely to include a lot of North Asian bookers and Oceania. At the same time, Booking.com, we started the European business. It’s had a lot of success expanding into Asia. And really the real strength of the two brands has been Asians moving around Asia. So, you have a lot of movement right now between China and Japan, Taiwan and Japan, Korea and Japan, and there’s a lot of movement also Australian going to Southeast Asia, Southeast Asians also going to North Asia. So we participate then in a lot of movement within Asia; and both brands continue to grow and have a lot of success. China specifically is an amazing market. You know we have our relationship with Ctrip. We are constantly meeting with the teams. I just got back from China and met with James and Jane and its’ turning out to be a great partnership. Our outbound business with them is up quite significantly year-over-year. That said, we have more work to do still. We haven’t on-boarded Ctrip’s inventory as fast as I’d hoped. There are a lot of issues we’re working through. We’re also exploring the need to ramp up our own efforts in China to bring on inventory. And also Ctrip is not our only relationship in China; we’ve got a lot of deep partnerships with various other source of demand. So we are very bullish. I believe the Group is really leading in independent travel outbound from China. I mean most Chinese do still travel in packages and over time that’s going to change. And I think we’re in a really nice position in that specific market which is going to be likely in the next 5 to 10 years, the largest outbound market in the world and we’re making sure that we’re serving it as well as we can.
Operator: Thank you. Our next question is from Tom White with Macquarie. You may begin.
Tom White: Dan, could you may be just clarify a bit about some of your comments around FX impact on EBITDA in 1Q. It sounds like maybe it was less impacted due to FX. And I am just kind of curious, did that sort of reverse; how does that play into the 2Q guidance? And then just quickly on the European competitive landscape, one of your competitors is making concessions on their take, hotel take rates in Europe to get more competitive. Are you guys seeing any sign that that’s impacting your ability to, I guess get share of rooms for given properties? And may be just comment on how badly may be your international hotel partners, do they need additional sources of distribution generally? Thanks.
Darren Huston: Dan, why don’t you take first one and I will take second one.
Daniel Finnegan: So, on that first question, we give you a specific calculation for the impact of currency on the top-line, both for gross bookings and gross profit. It’s easy for us to precisely calculate -- may be not easy but we can precisely calculate that because we know the currencies that all of those bookings and gross profit are generated in. It’s a little bit more difficult at the bottom line because particularly online advertising we’re making various assumptions as to the currencies that some of the keywords would pertain to. What we determine based upon our estimates is that generally the impact at the bottom-line is similar to what we’re quantifying for you at the top-line. In Q1, the impact is not as dramatic because just seasonally less of our earnings are denominated in euros in Q1. So, it’s about 14 percentage points at the gross profit line, you can assume it something less than that at the EBITDA line.
Darren Huston: And Tom, on your question on competition in Europe, we haven’t seen any specific impact. We really set the low bar on take rates. And as we continue to grow in Europe, I am sure there is a lot of pressure on our competitors. It’s hard to take commission that start with the 2 in Europe when we’re -- everything we have starts with the 1. But we’re really the one setting the standard. And I think there’s probably -- competitors have to match that if they are going to ultimately get access to availability. We’ve always believed that any hotel, any partner should have various sources of demand. We don’t cover every customer base in the world. So, we would encourage them to use channel managers, have all the sources of demand that they can find. And of course, we want to build our fair market share of those rooms. So, I don’t see anything specifically that’s coming from that rather than just probably a long overdue balancing, rebalancing in the market as it relates to take rate. But our business just got out of the market in Europe; it’s very healthy and our position I feel very good about.
Operator: Thank you. Our next question is from Stephen Ju with Credit Suisse. You may begin.
Stephen Ju: Thanks. So Darren, from a unit growth and units sold perspective, rental car days, you just outpaced the growth of your hotel room nights sold but more recently that has slowed. It seems like that should be a less online penetrated center in travel, so the growth rate should be higher as a result. So, can you help us reconcile what may be going on; is the supply a lot more constrained or is online penetration a lot higher than we think? Thanks.
Darren Huston: I don’t think I would take either one of those conclusions because in both cases, even though I believe we’re likely the leaders in rental car bookings in the world online among independent parties and certainly the same on hotel room nights, in neither one are we such a big player that it reflects either one market maturing fast than the other; it’s largely our own execution. I am actually really proud of acceleration we’re now seeing in rental cars, in particular our rentalcars.com business as we’ve talked about before, used to be a very opaque model; and last summer we went to a transition to make it much more retail. So adding reviews, adding brands and that was a lot of work but we feel really good how we’ve come out of that transition and really improved their direct business, their loyalty. Much of more let’s call it a Booking.com approach to rental cars. And we’re quite excited about the momentum. But I don’t think the market specifically, neither one of them we’re reaching any kind of feeling on potential and really how fast and how hard can we execute to get to the ultimate potential of the business.
Daniel Finnegan: And just one other point I’ll add Stephen. Our retail unit growth for rental car days is much healthier than the consolidated growth rate that we quote. So Name Your Own Price rental cars are down year-over-year because of lack of availability of discounted prices. So, the growth rate for retail is more similar to what you’re seeing with the hotel business.
Operator: Our next question is from Eric Sheridan with UBS. You may begin.
Eric Sheridan: Maybe one big picture topic for Darren. Given your continued comments around marketing deleverage, and appreciated the color on direct versus paid, how do you think longer term that directed more your business, the direct channel versus the variable channel? And how much to accomplish that and how might mobile, might get into that as evolve over the next couple of years?
Darren Huston: The very highest level, our businesses becoming more direct and that’s also allowing us to lean into pay channels more. But we like as the combination of online marketing as well as our offline marketing is helping to build or brands. And we always judge things on the basis of positive ROI in the transaction. So, if I can get positive ROI in a transaction and there is enough opportunity to do that, we’re going to lean into it. It’s like fishing, here we are going to fish and then you actually have no work with the customer to make them loyal over the long term. So that rhythm in our entire business is working very well. Obviously the more direct business you have at some point as an end game where you are completely direct but open, that obviously dramatically improve the marketing economics. But we’re not as that high and we’re still, very much having to search out more and more customers to bring on to the platform. So that’s one area. I don’t Dan if you want to make comment as well on marketing.
Daniel Finnegan: No I’d say the same thing. It’s likely that some business forever will come to us through paid channels. So many people use Google as their entry point to the internet. And Meta-search with search players and TripAdvisor just having very strong brands to that some customers buy will always prefer to start there. So we like the trends that we see in terms of people continuing to increasingly come to us directly.
Darren Huston: Then your second part of your question was on mobile. Obviously there is a lot of talk, if you get somebody on a mobile app that in theory is the panacea because then their entry point to the Internet is always through you. And it’s a very vital customer but to get people on your mobile itself is marketing spend. But also there is a large chunk of business that still has to pursue mobile web. And we’re big partner of particularly Google but other search engines and meta engines. And I feel really good about how our mobile web product performs. So, I don’t think there is a place specifically in our business. We’re not a high frequency thing like Facebook or Twitter. So, our business is never going end up being 100% app and it’s always going to be a nice balance between web and app. I should say, and a of couple exceptions to that in the portfolio; OpenTable is very heavy app because of the nature of our restaurant reservation. Actually KAYAK is very heavy app because people are always checking flight schedules. There is much more frequent occurrence than actually going out and booking a hotel room or renting a rental car. And that’s why mobile web by the way performs a lot like desktop web. It’s a different product you’re buying but you’re holding it to similar ROI standards and spending as well.
Operator: Our next question is from Naved Khan of Cantor Fitzgerald. You may begin.
Naved Khan: Can you talk a little bit about the vacation rentals business and how meaningful of the competitors is it to the acceleration in room nights.
Darren Huston: So, we’re really -- I’m very happy with the progress there. As I mentioned, we’re now over 275,000 properties. I always like to remind people, the way we count properties, I would count an aparthotel as a property or a block of apartments. We actually have over 1 million rentable units. So, we actually have a very competitive supply relative to others in the market. Our vacation rental business, we don’t have a number to announce; we talked about it; maybe each year we’ll talk about that. But I will say it’s growing faster than our core business. It is a product that’s very demanded by our customer base. And we feel like our tools and our various rhythms are getting better and better at ingesting this kind of stock. We have a lot of innovations now we’re working on to get to the single owner, single property market which is a whole new market that we haven’t as to-date been addressing as well. Most of our vacation rental homes are through property management companies but there’s a large take in the market where the homeowner actually manages their home. So really excited about it; our customers seem to want the product, which obviously is important and to balance out the supply and the demand side. And we’re going to continue to push there and innovate in the coming months and quarters.
Operator: Thank you. Our next question is from Mike Olson with Piper Jaffray. You may begin.
Mike Olson: You mentioned Priceline brand domestically is facing some headwinds right now, especially in the opaque business, which makes sense. But you have some new management of that brand to try to revitalize growth. So, can you talk more specifically about how the Booking.com brand is doing in U.S. and how the initiative to grow that brand domestically is, may be comparing to your expectations at this point?
Darren Huston: So we don’t release specific numbers but generally speaking, if you dig around and you ask the average U.S. hotel, they would generally say we’re the fastest growing of the players; we’re growing off of a smaller base. We’re trying all sorts of things in the U.S. For us, it’s a big growth market because we’re just starting, we under index in the U.S. And it seems it takes time and the market is also sticking with the American customer base. So, we’re excited. It’s a super high priority on my list. The Booking.com model works particularly well in really small countries that don’t speak English and people who move around countries. And for us, we generally under-index in really large countries where people don’t leave the country. And that’s where our growth, one of the angles of our growth potential is. So that’s why we focus so hard on China, Japan, United States, even Germany to really work on getting that domestic booker base as well. And so far so good but like everything in this business, it’s a lot of hard work and a lot of small steps. And we continue to invest and push forward in the U.S. market.
Operator: Thank you. Our next question is from Douglas Anmuth with JP Morgan. You may begin.
Doug Anmuth: Dan, can you talk a little bit more about the spending and the profit guidance for 2Q? And you obviously pointed out the lower ROI for advertising as you have for several years now. But is there a difference in the marketing strategy in this 2Q versus in the past and how do we think about how much impact here is coming from OpenTable and Booking Suite spend? And I know of course you are not guiding for the rest of the year but can you just comment on how you are thinking about that more in the back half? Thanks.
Daniel Finnegan: So spending for Q2 starting off with other OpEx non-advertising, you get a sense from what you see in Q1 for what you can expect in Q2 and then pressure should subside as we move beyond that; we lap the OpenTable acquisition. In terms of advertising, no change in our approach; I actually said that in the prepared remarks. So we have been very consistent all the way through. One thing that is different in this quarter is that there is more of ramp in offline spend. So some markets that we’ve introduced recently, France for 1; Germany which we launched in the back half of last year is in our spending in Q2 this year against no spend last year, and we will be looking to roll out into additional markets as well which you will do see as we proceed through the quarter. So that’s having more pressure on Q2 margins than it did on Q1.
Operator: Thank you. Our next question is from Ross Sandler with Deutsche Bank. You may begin.
Ross Sandler: Just two questions; one, sticking with the marketing. On the offline campaign, can you talk about the impact that this is having on the overall business; I guess how many countries you are in right now? And are you seeing any improved efficacy with your online in the countries where you had the TV going for some period of time? And then the second question is around the newer hotel software business, boutique plus the other pieces. So, can you just talk about the strategy around this area; is the goal to improve the transaction side of the business or could this get built up to be a meaningful standalone business within the Group? Thanks.
Darren Huston: First of all on the offline, again it’s just a Booking.com statement. The markets we’re in now are U.S., Canada Australia, the UK, Germany and France. And the way we think about it is obviously we have a lot of micro data. So, we are trying everything we can to measure the effect of this on running an and out on this channel versus that channel and we’ve built a great team that can optimize the way we spend our advertising relative to the bookings we get from that advertising. But then when you go to the macro level, the goal is to hit in a return on advertising standard that adds both our online spend and our offline spend. And of course what you want to do is have a higher return on that total spend after you begin spending offline than you did when you only spent online. So, you always get a combination of more and more your business coming direct but also an improvement in your online spend because people might click on your ad because they saw you on television when they might not have clicked on you ad because they are like, who are these guys. And we’ve been measuring that. It usually takes some months to figure out that you’re into a positive ROA territory. And with almost every market so far we’ve proven that we can get to positive ROA, maybe not always in 12 months but we can ultimately get to positive ROA and that’s what encourages us. It doesn’t mean we can spend offline today and tomorrow our ROA is higher than it was before because that doesn’t happen that fast. So, that’s the big challenge with offline marketing. But more or less, we know have enough experience to know that that metric is getting where we want to do it and that’s why we continue to lean in the market. And ultimately the ROA improves because of the clicking but again we’re getting more and more direct business. Booking Suite, so the play there is two sides, one is building a SaaS business. This is a software business and we think because we already have a sales force in place which is the toughest thing in the SaaS business, the distribution that’s where all the costs go. But we have a sales force in place, so we can have specialists sit on our sales force and we can go and talk to many, many hotels everywhere in the world and have a set of specialists help with that. But we also already have a lot of the hotel content; we have the availability; we have a booking engine, so we can build a hotel site very fast with almost no variable costs. And that’s why the Booking Suite product is basically free, the base product. And then we earned money off the transaction. And we’ve done all of our modeling that will be a good material business for the Group. I don’t see it likely ever being bigger than our core transaction booking business but it’s a sizable business on us own. The other side of the reason of doing Booking Suite is helping our partners become more capable with technology. And the more capable they are with technology and keeping their calendars up-to-date and keeping their pricing right, the more able they are to plug in to our platform. And a third thing that is really a third is that we can do all of this and save our partners’ money and they can trust us more as a company that we do more than just building transaction, we actually make it easier to run a property. That’s another benefit. So it’s really three-fold but we’re not just doing this to be nice; it’s a real business. And we expect in let’s call it, the medium to longer term to have a pretty substantial impact on our overall business.
Operator: Our next question comes from Ron Josey of JMP Securities. You may begin.
Ron Josey: I wanted to ask on the price parity clauses; I think agreement this quarter with the EU feels like hotels now some of more control on inventory availability while acquiring the same price. I’m just wondering what’s changed and what the potential impact could be. And then a quick follow on just Ross’s question around Booking Suite. I know you said it launched this quarter and a medium long term could be bigger. But where are you in sort of -- it launched but what does that mean; is the sales force telling it, that’d be helpful. Thank you. 
Darren Huston: So first on the parity clause, we’re pleased with the outcome; we wouldn’t propose it otherwise. For us, party is not a construct of the online industry; it’s actually the whole travel industry, like if you have to go to a site that sold a delta airline ticket and it will be always $10 more, it’s hard to be in business. Apple has the same thing. If you go by a Mac at an apple store and then you go to a third-party distributor, it is $10 more; there won’t be any third-party distributors. So parity is a very important construct that levels the playing field and allows us to really reach our primarily objective. Our primary objective is to always make sure that our customers get the best price, like we can’t be in businesses if our customers feel like they’re paying more using any of our assets. So, we worked through this comprise. I think it was well understood by the authorities that there is a free riding problem. In a business like ours, if our suppliers who basically load the prices on our system can load higher prices on our system and lower prices on their system. But more importantly, regardless of whether there is parity or not, if a hotel is on our system and the prices are too higher, it won’t convert. And if doesn’t convert, then it won’t show up because there is ranking mechanism anyway. They always make sure that the best product moves to the top. And our best partners have the best products of a very strong incentive to give our customers good value because our customers won’t buy things that aren’t good value. So, there is already a really strong reinforcing element. I don’t see this as having any significant impact on our business. But it’s a moving target. There is always new discussions and things but the way that our business runs and the reason customers use our product, they want to have confidence that we’re getting the best pricing. And this agreement doesn’t at all affect our rights or ability to make sure that they get the best price and that’s what’s important. And then on the booking suite topic, we don’t release right now how many sites we’re putting out maybe in a few quarters; we’ll give everyone an insight into that. But it’s off to a very strong start. So, it’s promising; the team in Seattle which was boutique is our back end team and we now have sales people out in the field; they’re really a second tier sales force. They are not in every office but they are there when a warm lead happens, it’s get handed off to somebody who really knows the depth of what they’re talking about. We’re in the bigger countries but in the smaller countries, we’re just getting to that. Our teams are just getting trained up on that. So, it’s sort of a rolling motion but early signs are very positive and the demand for the product is extremely strong which is a good feeling because it shows our partners trust us and they recognize that the value proposition is really outstanding for people who have a website in the accommodation arena.
Operator: Thank you. Our next question is from Heath Terry with Goldman Sachs. You may begin.
Heath Terry: Darren, I was hoping you could kind of give us a bit of an update on how your thinking has evolved about the lifetime value of mobile app customers. I know in the conversation, in the questions you’ve answered before, you’ve generally talked about CPA as the primary value that you are driving towards, driving your ROI towards. Wondering if -- as you’ve learned more about the way mobile customers act on apps and have better understanding of sort of cross platform attribution, if the way that you are thinking about mobile app acquisition or customer acquisition relative to that LTV has changed?
Darren Huston: What we find is at least in our business and this is now more a Booking.com, Agoda rental car statement. I’ll put aside Kayak and OpenTable because of the aforementioned that they are primarily on app and they get sort of a really high repeat frequency type customer which is a different set of behaviors. But in our business, our most loyal customers, it’s a bit of a circular arc because our most loyal customers are one that carry the approximately. And our most loyal customers are the ones that bounce overall the screens. So, the app for them is not just the booking experience, it’s the thing that they carry their reservation in. We now have travel guide, so the travel guide is in the app. When they check into a hotel, immediately it says, are you happy or sad? So, all of these things come with the app and help our most loyal customers that are often who have booked with this already many times, continue to repeat with us. So, it would be a stretch to say that everyone that uses the app is a more loyal customer because the input to that generally is the more loyal. But we do find generally now going away from app and talking about mobile more generally, the move, the biggest thing that’s changing our business is the move from a single screen world where you only get one thing with us which was make a booking to a multi-screen world where you have an end-to-end experience from looking to booking to enjoying your trip on the ground is giving us more and more loyalty. The people realize there’s a lot of reasons to use our products but when it can actually make the whole experience better, people see it, well this is just a better way to do things. And it’s hard to make that multi-screen experience all tied together and we are certainly not complete with that work but it’s a huge differentiator. And for a big player like us, we have the assets and the resources to invest to make that seamless and for you to be able to do that anywhere you travel in the world. This isn’t easy work by the way because all of these softwares naturally speak with one another and you’ve got to get the right base architecture where you account can sit in the cloud. And then no matter if you are on the app with the Booking Now or you’re on Apple Watch or you’re on the website that you account immediately gets tied together. But that’s work the team has done and I think does reward the bigger players who can really plum that new sort of end-to-end multi-screen digital experience for our customers. So, I am excited. For ecommerce players, mobile is a real positive. When you are in the media business mobile has this extra trade off that it’s harder to convert something through media on a smaller screen and that’s obviously you’re seeing that trade-off between those who own the transaction and those who don’t.
Operator: Thank you. Our next question is from Kevin Kopelman with Cowen & Company. You may begin.
Kevin Kopelman: Could you talk broadly about how you are thinking about margins in the vacation rental business compared to hotel booking, and is there any difference in how you approach ROA, that business? Thanks.
Darren Huston: First of all, you start with hotels and then below hotels there is a whole collection of things that you could call self-catered products. So first just commenting on B and Bs [ph] and apartments and things like that, we see that the commission levels and the take rates in that space are equivalent to the hotel space. We don’t feel any extra pressure. Again that’s all with the lens that we have a very low bar as it is around the world compared to most of our competition but we don’t feel pressure to go lower. When you get into the single vacation home space, we still have generally signed up without having to dilute our take rate much. We have a little bit more pressure there because the average vacation home owner, it’s a marketplace with a lot of friction and a lot of uncertainty. We’re the first and only transaction engine that works that’s instantly verifiable. So, our property has actually the calendar that works. There’s no back and forth with the consumer like once the consumer buys then they have to pay. So, there is a lot of work still yet to be done. And a lot of these players are used to marketing themselves through a classified ad or on an Internet website and they are expecting phone calls or may be some of them might be on air B and B, [ph] and there’s just different economics in that that I would say that the story is still out in the vacation home market but least to-date been able to approach in a similar way. The other argument on vacation homes is the length of stay is lot longer. The ADR is potentially higher and therefore they would argue that the take rate percentage should be lower but the absolute take rate is actually very healthy relative to the booking. Sorry, long answer to the question, I don’t feel lot of pressure but in the vacation home single owner market, we of course will compete as aggressively as we need to and be smart about the economics.
Operator: Our next question comes from Brian Nowak with Morgan Stanley. You may begin.
Brian Nowak: Thanks for taking my questions, I’ve have two. The first one is just go back to the gross profit guidance in 2Q and what you saw in the quarter. It looks like constant gross profit per room night, if I back out OpenTable was it about 1% year-on-year versus 4% last year. Is that deal mix from Agoda or there is something else going on that we should make sure we consider in our 2Q modeling? And then a higher level one did you talk about strategies to drive more direct business, any thoughts about offering a broader loyalty program for booking.com or how you think about loyalty programming at this point?
Darren Huston: Dan, why don’t you take the first, I will take the second.
Daniel Finnegan: So Brian, gross profit relative to room nights; room nights are on an as booked basis and the gross profit is on a stay basis. So, you’ve got a little bit of mismatch there. We had a strong quarter with accelerating growth. And to not insignificant degree those checkouts are going to occur in Q2 around the Easter and Q3 around summer. And the other factor is as I mentioned before OpenTable has a more dramatic inorganic benefit to Q1 because of the travel businesses are just seasonally smaller in that quarter. And so that’s gross profit that’s in our numbers with no room nights associated with it.
Darren Huston: Brian, on loyalty programs generally, so we do have a couple in the group. Agoda has a loyalty program although we’re slowly phasing that out. OpenTable has a point loyalty program. This is in the more traditional earn points earn nights, get things free. Booking.com specifically, we believe that kind of mechanism for the really infrequent traveler can be as much of a turn off as a turn on because they may only do two bookings a year, but they may be one to do one booking and they maybe do it quite frequently. And for them they want is just a great experience. So, we focus to drive loyalty; we focus very much on the product and getting them amazing pricing. When you go to a destination, it’s not about what this hotel costs, it’s about what is the selection and assortment allow me to buy and our users love the fact that they can find that place that directly matches what they need at a great value and that’s what’s driven our loyalty over time has really been product experience. That said Brian, I can tell you haven’t booked five times on bookings, because if you do within a year, we have a program called genius that we offer more of a surprise and delight fashion to our most frequent guests. And that allows an access to other close user group rates that are supplied by our hotel partners. Our hotel partners are really interested on more frequent guests; it improves their conversion and therefore improves their placement on our front-end to all customers and that’s something we’ve had in the market now going on a couple of years and it’s been really successful. So that’s been our approach to-date. It’s not that we won’t change that or always questioning these things. Rocketmiles we bought is a really interesting small company in Chicago that’s uses airline miles. That’s more we’re interesting because it’s a real fast growing very unique business but we’re obviously now brining in some people with some deep expertise within Rocketmiles; many of them came from the airline frequent flyer miles business and we’ll see if we learn anything from that that might impact our thinking differently in the future.
Daniel Finnegan: And Brian, one follow-up to your first question which is what you might have been getting at. No substantial change in our take rates in Q1 or Q2 forecast.
Operator: Our last question will be from Manish Hemrajani with Oppenheimer. You may begin.
Manish Hemrajani: As we look at room night growth up 25% year-over-year, how much of that growth is being driven by new properties, let’s say a property that has been on the platform for less than a year? And how much of the growth is being driven by all the properties?
Darren Huston: We don’t divulge that specifically but it’s a higher level; I shared this before. If you were a property on Booking.com five years ago, on average every year we’ve given you more booking. So, if you are a brand new property, you come on; and that’s always been our goal is to have enough demand so that all of our existing properties don’t feel like we’re taking business away from them but they can continue to get more and we can also feed our new properties. When you look at our property growth that 40% we talked about, the properties are getting smaller and smaller on average, not that we aren’t finding big hotels, big resorts but on average that’s getting smaller. So, our unit growth in terms of bookable properties is not growing at the pace of our business which therefore allows us to continue to keep our property partners happy is the way to think about it.
Manish Hemrajani: And then, can you comment on the recent consolidation of the space and what should we expected response to this, especially in markets where you’re under indexed versus the global travel market share? 
Darren Huston: As I said on the last call, we think the consolidation clarifies competition; it’s not the strategy we’re following. And we continue to stay focused on what we’re good at. And even if the three players are now one player, we have the same strategy in United States we’ve always had, hasn’t changed our product; it hasn’t changed our value proposition and we continue to push forward and I would say quite successfully. And by the way I say that not saying the other strategy is bad, it’s just different than what we’ve been doing. And the space that we occupy is very large and this has been said many times but it’s either a $1 trillion or $1.3 trillion, even if you add our largest competitor with us, we still make up less than 10% of the opportunity. So, it’s not like we’re running against one another every day, it’s more our segment of the business which is online travel, largely independent travelers, people leveraging Internet is as a nice tailwind behind it and we’re making sure that we do our best to capture as much about it as possible.
Operator: Thank you. This concludes the question-and-answer. I would now like to turn the call back over to Darren Huston for closing remarks.
Darren Huston: Thank you for all joining us. I know a lot of our employees and others are joining this call as well, I want to thank everyone for a lot of super hard work in Q1 and we’re looking forward to a really strong Q2.